Operator: Good morning. My name is Chris and I will be your conference operator today. At this time I would like to welcome everyone to the Hamilton Lane First Quarter Fiscal 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. A supplemental slide presentation to accompany the prepared remarks can be found on the company's website. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Also as a reminder, please limit yourself to one question and one follow up. Thank you. At this time, I would like to turn the call over to John Oh, Investor Relations Manager. Mr. Oh, you may begin.
John Oh: Thank you, Chris. Good morning and welcome to the Hamilton Lane Q1 fiscal 2023 earnings call. Today, I will be joined by Erik Hirsch, Vice Chairman; Brian Gildea, Head of Investment Solutions; and Atul Varma, CFO. Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements based on our current expectations for the business. These statements are subject to risks and uncertainties that may cause the actual results to differ materially. For a discussion of these risks, please review the risk factors included in Hamilton Lane's fiscal 2022 10-K and subsequent reports we filed with the SEC. We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the Shareholders section of the Hamilton Lane website. Our detailed financial results will be made available on our 10-Q is filed. Please note that nothing on this call represents an offer to sell or a solicitation to purchase interest in any of Hamilton Lane's products. Beginning with the financial highlights. For the quarter, management and advisory fee revenue grew by 16%, while our fee-related earnings grew by 10% versus the prior year period. This translated into GAAP EPS of $0.91 based on $33.5 million of GAAP net income and non-GAAP EPS of $0.92 based on $49.6 million of adjusted net income. We have also declared a dividend of $0.40 per share this quarter, which sheets us on track for the 40% increase over last fiscal year, equating to the targeted $1.60 per share for fiscal year 2023. The targeted dividend marks the fifth consecutive annual increase since going public in 2017, each over 10% and with an average increase of over 18%. With that, I'll now turn the call over to Erik.
Erik Hirsch: Thank you, John, and good morning everyone. We've had another extremely strong quarter reflecting the strength and diversity of our platform, as well as the resiliency and attractiveness of the overall asset class in which we operate. The markets clearly remain challenged shrinking asset bases, rising rates, increased overall volatility. Fundraising is harder and our teams are working diligently to identify sources of capital. The results, however, speak clearly to the strength of the business that offers a diversified solution suite is globally strong and then our separate account advisory back office and technology offerings is and the vast majority of cases, the sole service provider for the client. In order for the clients to remain active in the asset class and to continue to grow their exposure, which they want to do, their relationship to us – with us continues. We also look to lean on our various strategic technology investments and partnerships that are clear differentiators and are further advancing our brand and market position. We are proud of the results this quarter and our continued growth and we remain optimistic and encouraged by what we see in the pipeline. Let me now turn to the results for the quarter. Our total asset footprint, which we define as the sum of our AUM, assets under management, and AUA, assets under advisement, stood at approximately $832 billion and represents a 10% increase to our footprint year-over-year, continuing our long-term growth trend. AUM growth year-over-year, which was $16 billion, or 18%, came from both our specialized funds and customized separate accounts. As for our AUA, similar to that of our AUM, growth was from across client type and geographic region and came in at $59 billion or 9%. Total fee-earning AUM stood at $51.1 billion and grew $8.4 billion or 20% relative to the prior year stemming from positive fund flows across both our specialized funds and our customized separate accounts. Taken separately, $5.4 billion of net fee-earning AUM came from our customized separate accounts and over the same time period, $3 billion came from our specialized funds. Our blended fee rate across both customized separate accounts and specialized funds remain steady. Moving to the two components that make up our fee-earning AUM, I'll start with our customized separate accounts. Fee-earning AUM from our customized separate accounts stood at $31.7 billion, growing 20% over the past 12 months. We continue to see the growth coming across type, size and geographic location of the clients. Over the last 12 months, more than 80% of the gross inflows into customized separate accounts came from our existing client base and continues to be a steady source of growth for our separate account business. With that, I'll turn this over to Brian to cover the specialized funds update.
Brian Gildea: Thank you, Erik, and good morning. Moving to our specialized funds, growth here continues to be strong. Fee-earning AUM from our specialized funds stood at $19.4 billion at quarter end. Over the past 12 months, we achieved positive net inflows of $3 billion representing growth of 18% relative to the prior year period. This growth stems from additional closes for funds currently in market, robust investment activity and continued growth of our Evergreen platform. Let's now go into some detail around recent drivers of this growth. On July 6th, we announced the final close for our inaugural infrastructure opportunities fund and site fund, which totaled nearly $575 million of investor commitments. While this fund marks our first commingled infrastructure vehicle, Hamilton Lane has been a longstanding active investor in the infrastructure space for the past 22 years, managing separate accounts and providing advisory solutions for clients of all sizes. We began raising this fund just as the pandemic started to take hold and are proud of the fact that we were able to execute well while having to navigate a remote environment where we could not physically meet with investors during much of the fundraise. What's more [ph] the last few months of the fundraising period, typically a strong period for traditional fundraisers also occurred in a challenging market environment, which only adds to our pride in getting this kind of first time fund done. Nearly half of the investors that came into the fund were new relationships for Hamilton Lane. The success here also speaks to the power of our global platform, where we were able to leverage existing client relationships and a global distribution network. Next is our annual direct credit series. We're currently raising our seventh installment of this series and the momentum continues to be strong. During the quarter, we held multiple closes that totaled over $573 million of LP commitments and now bring the total amount raised to over $890 million for this installment. We will look to hold the final close in the coming months, but as it stands this installment already marks the largest in the series. As a reminder, this capital reflects a single year investment vehicle with management fees charged on invested capital. We've already begun deploying this capital and we'll begin fundraising for the next series shortly after holding the final close for this installment. Moving on to our direct equity fund, fundraising continues to progress well. During the quarter, we held closes that totaled over $190 million of LP commitments, which generated approximately $600,000 in retro fees for the quarter. Post quarter end, we held an additional close for the fund that totaled nearly $72 million and will result in retro fees that we recognize in Q2 of fiscal 2023. Stepping back, the total amount raised for the fund now stands at nearly $1.8 billion, a level that surpasses the size of the prior fourth fund and already makes this our largest direct equity fund to date and with which we will still be in market through the fourth quarter of this year. Let me now turn to an update on our secondaries platform. On our prior earnings call, we announced that we had held the first close on April 22nd for our sixth secondaries fund. That close totaled over $611 million. Subsequently on July 21st, we held the second close on nearly $450 million, which will result in a modest amount of retro fees that will be recognized next quarter. The combination of the first two closes brings the fund to nearly $1.1 billion and demonstrates the continued demand from investors for this strategy coupled with our strong track record of delivering results. We are pleased with the early days of the fundraise and we are appreciative of the meaningful investor support to date. We will remain actively in market for 24 months, two years from that April 2022 closed date and look forward to providing you with updates on future closes over the coming quarters. Let me now turn it back to Erik to cover our Evergreen platform.
Erik Hirsch: Thanks, Brian. I'll wrap up this section with an update on the Evergreen platform. In total, the platform now stands at nearly $2.8 billion and we had another quarter of strong net inflows. The months of April and May saw net inflows over $100 million each month. Similar to comments you have heard from other private market managers, this quarter we also experienced some softness in June and July and expect much of the same for August. The outflows we saw while modest largely came from our Asian investor base. Again, similar to what you have heard from other private market managers. We attribute the softness to a combination of summer doldrums across the retail sector and significant public debt and equity decline that have caused investors to simply pause their investments. Performance of the product is strong, significantly outpacing the public equity markets. Our focus continues to be on expanding our channel penetration and building relationships across the space. In addition to flows into our Evergreen products, these relationships are also delivering flows into our traditional specialized funds. Our latest secondary fund, as an example, has already seen commitments totaling more than $145 million from retail investors and represents nearly 14% of the total capital raised in the fund so far. Again this is capital raised from this segment separate and apart from the Evergreen flows. As the public market stabilized a bit and as we push into fall, we expect to see a rebound inflows and reward for the expansion of relationships. Let me now take a moment and introduce our newest strategic technology oriented investment of our balance sheet. On June 28th, we announced our participation in the most recent fundraising round for CAIS, where we joined other strategic investors such as Apollo, Motive Partners and Franklin Templeton. CAIS operates a technology enabled open marketplace for alternative investments where financial advisors and asset managers can engage and transact directly. CAIS' platform empowers over 5,300 unique advisor firms and teams, who oversee more than $2 trillion in network assets. CAIS provides financial advisors with a broad selection of alternative investment strategies coupled with a powerful learning system CAIS IQ to help those advisors drive adoption and improve client outcomes. This investment represents the latest example of our strategic technology thesis and commitment to enabling broader access to the private markets by investing in and partnering with those companies, who we believe are on the cutting edge of driving that accessibility. CAIS now joins our other strategic partners in the wealth space, iCapital and TIFIN, and we'll be able to provide their clients with seamless tech-enabled access to Hamilton Lane Funds while we leverage the infrastructure and trust that these companies and their platforms have built within the vast private wealth universe. We are excited to begin this mutually beneficial journey with CAIS and look forward to providing with updates in the future. And with that, I'll now turn the call over to Atul to cover the financials.
Atul Varma: Thank you, Erik, and good morning everyone. For the first quarter of fiscal year 2023, we achieved strong growth in our business with management and advisory fees of 16% versus the prior year period. Our specialized funds revenue increased by $10.3 million or 31% compared to the prior year driven primarily by $1.5 billion increased fee-earning AUM at our Evergreen platform, more than $600 million raised from our latest secondary fund in the quarter and over $1.7 billion raised through June from our latest direct equity fund. Retro fee for the quarter were approximately $600,000, stemming primarily from our direct equity fund versus minimal amount in the prior year period. As a reminder, investors that come into later closes during the fundraise pay retroactive fees dating back to the fund's first close. We expect to generate additional retro fees as we hold subsequent closes for both our latest direct equity fund as well as our latest secondary fund. Moving on to customized separate accounts, revenue increased $3.9 million or 16% compared to the prior year period due to reups from existing clients, the addition of several new accounts and continued investment activity. Revenue from our advisory, reporting and other offerings decreased $2.1 million compared to the prior year period due primarily to a decrease in revenue from our distribution management business. Lastly, the final component for our revenue is incentive fee. Incentive fees for the quarter totaled $49.6 million. The relative increase in incentive fees compared to the prior quarters is due primarily to the fact that a number of our specialized funds entered into GP catchup portion of their respective fund waterfalls. We typically find GP catchups in connection with the European style waterfalls, which is the most conservative method related to earning carried interest and represents the method that the vast majority for [indiscernible]. While this method does delay the receipt of carried interest, it is more favorable to the client and avoids any clawback risk and thus represents stability for our shareholders. Our performance across our funds remain strong as evidenced by this continued move towards greater performance fees. For those less familiar with how European style waterfall works, investors are first allocated dollars that result in all of their invested capital fees expenses, and then a preferred return being satisfied. After that Hamilton Lane as the manager is then allocated our share of value that puts us level with investors and equals our stated carried interest percentage, which is the catch-up portion of the waterfall. While that is [ph] satisfied, the remaining value is allocated based on the carried interest percentage. During the GP catch-up period, you typically see an outsized amount of value that flows to the GP, which is what we experienced this quarter. Let me now turn to some additional color on our unrealized carry balance. The balance is up 36% from the prior year period even if we recognized $98.1 million of incentive fees during the last 12 months. The unrealized carried balance now stands at $1.1 billion. Moving to our expenses. Total expenses increased $29.7 million compared with the prior year period. Total compensation benefits increased $25.5 million driven primarily by compensation associated with the increased amount of incentive fees in the quarter. G&A expenses increased $4.3 million, which included increases in travel costs. For the quarter, our fee-related earnings were up 10% relative to the prior year as a result of the management fee revenue growth we discussed earlier. I’ll wrap up here with some commentary on our balance sheet. Our largest asset continues to be our investment alongside our clients and our customized separate accounts and specialized funds. Over the long term, we view these investments as an important component of our continued growth and will continue to invest our balance sheet capital alongside our clients. In regard to liabilities, we continue to be modestly levered. And with that, we thank you for joining the call and are happy to open it up for questions.
Q - Michael Cyprys: Hey, good morning. Thanks for taking the question. Maybe just first off on the performance, if I hear you right. It sounds like this is the point the incentive fees in the quarter being so strong relates to catch-up period as a fund or account entered into the European waterfall stage point where the GP is taking care. If I have that right, I hope you might be able to elaborate on which fund or account this related to? And can you recall when you last had this sort of meaningful impact as you kind of look back over the past couple years? And if you were to look forward, which sort of fund or strategy might you see something getting closer to the point of entering the catch up, which fund or strategy might that be?
Erik Hirsch: Yes, Mike. It’s Erik. I’m happy to take that, although I’m going to take that by generally not answering it. We had a – we have a – as you know, that sort of $1 billion of value is across so many different vehicles. The majority of our specialized funds utilized the European waterfall. Once we move into our separate account space, it varies. Some of them are deal-by-deal, some are Americans, some are European. And so this has occurred. We certainly have had this occur in the past as we’ve had other large vehicles roll over and move into that GP catch-up phase. So you can see as we report out kind of where we are on dollars, invested dollars distributed on our specialized funds, you can just see which of those funds are getting closer to that. But this is an event that has occurred in the past. This is an event that all willing with the strong performance continuing over our history that we will again see in the future.
Michael Cyprys: Understood. Okay. Thanks. And then just maybe follow-up question on fundraising. I think Erik, you mentioned that you were seeing the broader fundraising environment getting a bit harder. I’m just hoping you might be able to elaborate a bit on that. Just what are you seeing across the industry? How does that sort of impact your outlook in terms of magnitude and timing for what Hamilton Lane can be looking to raise in both the institutional marketplace, but maybe you could also comment on the retail side as well? Thank you.
Erik Hirsch: Sure, Mike. It’s Erik, I’ll stick with that. I think it’s what you have heard generally reported in prior earnings calls from other managers, which is to say you’ve had a lot of value knocked out of both institutional and retail investors over the last several months. That just means that there’s kind of less capital in the markets that’s available for people to raise, invest, et cetera. So we’ve been talking about kind of the denominator effect. It’s real. That said, once you see volatility in the public markets, you also see investors begin to reassess their allocation strategy. I think it’s important to remember that they have a goal and that goal tends to be a kind of 6% to 8% plus target rate of return. And they need to do that to continue to sort of meet their funding obligations and their investment needs. And if they believe that they’re not going to achieve that in their current asset allocation model, they’re going to redo that model to tilt towards higher returning strategies which would be the private markets. So today I think you’re just seeing a combination of factors. I think one, it seems like everyone on their cousin, except for all of us that are working hard today is on vacation. And so I think you’ve definitely have just seen a summer slow down, not surprising as people are kind of returning to a bit more normalcy. But you’re also seeing just again, capital tight and investors, just not, they’re not in a hurry to make a decision today. But as you heard me state earlier, our pipeline is big. People are back on the road, beginning to travel, events are returning. And so I think we remain very focused on continuing to deliver the same growth rates that we’ve been delivering over our history. We always talk about that this firm is kind of built for a marathon, not a sprint, and that’s exactly how we’re positioned today.
Michael Cyprys: Great. Thank you.
Operator: The next question is from Ken Worthington with JPMorgan. Your line is open.
Ken Worthington: Hi, good morning. Thanks for taking the question. And sort of following up on that. So from a macro perspective, to what extent does secondary activity act as a barometer for private market investment sentiment? And to the extent it does, what is it telling you about sort of the near term and the intermediate term outlook for private market investing? And to the extent you can address it, are there different messages being sent by asset class? Are the messages the same for private equity, real estate credit or infrastructure, or are you starting to see divergences in the way investors are sort of looking at those asset classes based on sort of the macro market conditions we’re seeing today?
Erik Hirsch: Sure, Ken. It’s Erik. I think the secondary market is an interesting data point to look at because in some cases, if you were to see higher or abnormally high sort of LP selling volume, that might indicate that there is concern about the asset class or that there’s a need to rebalance, or that there’s a need for liquidity. Today, the data is very clear, which is you are not seeing that. We’re not seeing at all any abnormal or elevated levels of LP selling. And so if we want to use it as a barometer, then I would tell you that the barometer is probably indicating it’s kind of stay the course business as usual.  So where we’ve seen in a slight uptick or maybe sort of a change in the competitive mix is around kind of the GP led single asset transactions. I think there, I think you’ve got some buyers remorse from some folks out in the market who I think we’re just very active in that space and maybe got themselves a little bit too concentrated. I think you look at our fundraising, we’re continuing to raise good dollars into that space. I think it makes us a very, very attractive partner in a market where capital is going to get a little bit more scarce. And so I think we look at that as a net positive.
Ken Worthington: Okay, great. Thank you. And then if you could, could you just sort of clarify the retail fund commentary you made earlier? You mentioned, I think it was July, it was either June or July that things went from sort of inflows of a 100 million. And you talked about, I think more elevated redemptions, was that elevated gross redemptions? Did the retail product go into net outflows? If you just sort of clarify your comments on the change in fund flows there?
Erik Hirsch: Sure. I think all we were saying is, again, I think similar to what you’ve heard from other folks, which is you came out of sort of the beginning of the year, very strong January, February, March, April, May, you hit the summer. And I think you sort of saw the combination in June and July. August again we’re – on August 2 here. So we’ll see what the rest of the month looks like. But I think you came into the summer and I think you had the effective two things. One, again, I go back to my vacation comment, which I think is real and sort of the combination of people just not feeling pressured or needing to make decisions at this moment in time. You add that to just, again, the huge volatility and sort of geopolitical uncertainty, that’s sort of that’s looming out there and the market is gyrating. And I think the combo of that just has people taking a pause. So I think you’ve heard from us, you’ve now heard from a number of other public managers who are also raising product in that retail space that we all have just seen a slowdown. I think we’re all, I think also signaling that fall looks to be better. We expect again sort of the summer doldrum piece to kind of resolve itself and people need to start making portfolio decisions. So we saw softness across the board. We had not really seen outflows that were even worth mentioning before we saw them, as I said, we saw them in Asia. And so that’s kind of where we sit today. But I mean, I go – I sort of take a step back and forget the month-to-month piece. I think the big picture takeaway is you’ve got a product that is still relatively young in its infancy sitting at $2.8 billion of capital raised and continuing to drive forward, continues to position us as a real differentiator among certainly our peer group in the space with what we’ve done so far.
Ken Worthington: Great. Thank you very much.
Operator: The next question is from Alexander Blostein with Goldman Sachs. Your line is open.
Alexander Blostein: Hey, guys. Thanks. Good morning. So just to make it clear not net outflows in the retail products, right, or you guys are seeing net outflows? And then as we think about the distribution of those products I know to your point, Erik, Asia is something we’ve heard from others as well. Anyway to help frame, how much of the $2.8 billion in the kind of combined retail AUM sits with the Asia based customer base?
Erik Hirsch: Yes, Alex, it’s Erik. So I think I’d probably don’t want to disclose kind of exactly the breakout of the geographic mix. Asia is certainly not the biggest driver of our asset flow. If you look at kind of the non-U.S. lot of flows throughout Europe, a lot of flows in Australia in particular. And so it’s been geographically diversified across that. The numbers are still kind of getting, I mean, again, August is unknowable right now. June was a net positive and August I think was probably pretty close to sort of a net zero.
Alexander Blostein: Got you. All right. That’s helpful. Thanks. And then my follow-up question just around the appetite for capital deployment, both in the kind of directly control strategies, as well as what you guys are seeing on the GP partners that you have in the business. I guess one, can you help us maybe frame the amount of capital you guys have currently that has been raised that will turn on fees upon deployed? There’s a couple products, obviously that you’re raising today, still that we’ll bill and deployed, as you mentioned earlier. So just help sizing that would be helpful. And then in what areas you expect to be most active on the deployment side over the next call at 12 months?
Erik Hirsch: Sure. Why don’t I start on the beginning and then I’ll ask my partner Brian to sort of just talk about what we’re seeing on deal flow and generally, and kind of activity. As you know, so for us, the vast majority of our assets are on committed capital. The credit vehicle that Brian highlighted as that annual series is uninvested capital. But again, I would just echo what he had said earlier. That’s a one year investment period. So it’s a relatively modest delay because that capital is basically raised and then deployed within kind of that rolling 12-month cycle. So I think about that product is basically always raising and always spending because that’s sort of the rhythm of having that annual series. And the benefit of that is that it allows the investor base to be very tactical about how they want to be sizing commitments each year as they can kind of just look at what they’re sort of needing from a yield based portfolio. In addition to that, I mean, as we’ve said before, we have billions and billions of dollars of kind of dry powder that will turn on eventually. I think it’s just the nature of the industry. We’ve not sort of gone out of our way, as I’ve said in past calls to go break that out. Our view is it comes online. It’s normal. It’s sort of how the industry works in a lot of cases. There’s nothing special or unique about that. And again, I think we’re not trying to give the investors a sense that, like, we can’t wait to deploy the capital so we can get paid. We’re here to make good, thoughtful, long-term decisions to sort of deploy that. The investment activity continues to be robust and the deal flow continues to be significant. And I’ll turn to Brian to give a little bit of commentary around that.
Brian Gildea: Sure. Thank you, Erik. And as Erik talked about that dry powder, one of the real benefits of course, is that we’ll be able to be diversified and flexible by strategy by geography, et cetera. So the opportunity set continues to be really robust. I know we talked about a little bit of slower transaction volumes. But if you – we were to look at our fund investing opportunity this year, we're on pace to see over 1,000 new funds. So that would be down slightly from last year, but that would be our second largest year of fund activity ever likewise. In the credit space, where overall industry volumes might be down, we're seeing our opportunity set down by about 10% on a year-to-date basis. So still a massive opportunity set across all of those strategies, and we're able to be highly selective in choosing the things that we think are the best fit for the current market environment.
Alexander Blostein: Great. Thanks again.
Operator: The next question is from Adam Beatty with UBS. Your line is open.
Adam Beatty: Thank you and good morning. Just wanted to ask about the partnership with CAIS, and I know you have other similar partnerships. Can you just remind us about the kind of product rollout strategy that you expect with that, whether that involves existing products or developing some new products around particular needs in the channel, and what the outlook is there? Thank you.
Erik Hirsch: Sure. It's Erik. I'll take that. The strategy is really leveraging what they've built, which is impressive platforms. And I think this was – we chose our partners carefully and coming away with an ownership stake and strategic alignment with iCapital, CAIS and TIFIN, I think, is noteworthy. It's clearly a differentiator. There's nobody else that has stakes across that like we do. And the strategy is simple, which is to largely take the products that we currently have. I mentioned secondaries receiving flows from that channel, getting the evergreen products up and running on those channels and to also just help them as a good partner around customer education. Part of the big gating item is continuing to educate the end customer and equally important, their decision-making body with the FA, RIA, et cetera, around the asset class. I think there's still too much that's not really understood, and that lack of understanding can cause a real hesitation from participation. And so one of the things that makes us an attractive partner is being able to provide data and insights and hard facts around what's happening in the asset class to try to kind of peel back and provide a little bit more transparency to those folks to get them to be more comfortable to not only participate but to participate at higher levels. So early days here, but we like what we see so far, and we're very encouraged.
Adam Beatty: Makes sense. Thank you for the comments around the process. And then turning to the institutional side, you mentioned some good success on the infrastructure front, half of the investors being new relationships. So I just wanted to maybe flesh that out a little bit. Where are you seeing the demand among sort of new relationships or new potential relationships, certain client types or maybe geographies? And is the pause, if you will, in sort of the level of demand similar to among your existing clients or maybe not so much? Thank you.
Erik Hirsch: Sure, Erik. I'll stick with that. I would say to you that – I mean, this is largely the result of an expanding platform. We continue to hire more sales resources. We continue to open up offices around the globe. We continue to do things to invest directly in our brand. We continue to get better, smarter on marketing and communication around all of that. And so I think that's what's leading to, as Brian said, in start that fund, the beginning of pandemic and the fact that you were able to go out there, introduce yourself, have half of the customers that you've not had a prior business relationship in come in and support that. I think it's just a testament to the power of the platform, the power of the brand and frankly, the high-caliber people that we have on our team who are out there telling the story. So we're not seeing wildly different sort of divergent paths across geography or type. And again, the past quarter shows you that there's really not been a slowing. I think it's just normal that when everyone wakes up and looks at the headlines that we're all kind of barraged with every day, that people's decision-making is going to be purposeful and deliberate and they're not going to get raced into making a quick decision simply for the sake of doing that. But that's the nature of the asset class being as long-dated as it is, and you've got to be there. You've got to be seeing the customers talking to them and being patient and waiting to be their long-term partner, and that's exactly what we're doing.
Adam Beatty: Excellent. Thank you. Appreciated.
Operator: The next question is from Robert Lee with KBW. Your line is open.
Robert Lee: Great, thanks. Good morning. Thanks for taking my questions. Maybe the first one, I have come in the separate account business. You highlighted that 80% from re-ups, can you maybe drill for that a little bit. When you're getting those re-ups are generally seeing LPs upsize their commitments or any kind of change in the level of capital that they're re-upping and their commitment size and then just would have one follow up.
Erik Hirsch: Sure, Rob. Erik. No, nothing to draw into that. I mean part of it is you've got such a large installed base there that you're going to have everything. You're going to have some investors that are very mature and so simply need to keep re-upping at levels that maintains the allocation level that they're already at, which is kind of target level. You have investors that are brand new to the asset class, and so they're starting and they're building. And so the tranche has become subsequently larger if they're building into that. You've got really a broad array of scenarios. So that's, I would say, is normal. Again, the result of a large diversified customer base. And we're just not seeing anything that's abnormal or indicative of some sort of a change in behavior or some sort of change in heart. As I said in my comments, they’re sticking with the separate account, either creating one or re-upping with one is a fundamental choice of, do you want to stay in the asset class or not. It's a very different decision than deciding to back a particular manager or not. That's a much more tactical sort of single decision. The separate account is their allocation to the private markets. And I think that's why you're not seeing sentiment change around wanting to be in the asset class or want to participate. And so I think that's why the flows there continue to be strong.
Robert Lee: And then maybe kind of a modeling question. So obviously, inflation, comp pressure, investing in the business, in the wealth channel and elsewhere. So could you kind of update us on how we should think about expense progression from here? Is this kind of a good run rate? Is there anything we should be thinking about as the year progresses, that to put additional upward pressure from what we're seeing just trying to hang into your thoughts back.
Atul Varma: Well, it is Atul. Let me take that in a couple of pieces. So what you saw this quarter really good revenue growth and for the commensurate expense growth. And as you think about for modeling forward, as I said based on the comments you heard from the pipeline and other sort of asset growth, we feel pretty good about sort where we are from a revenue growth standpoint. And expenses had to follow that, right? So if you look at our G&A expenses, we are up from a year ago, partly that the -- coming out of the COVID environment, travel is up. So we think G&A should be a good run rate as we look forward. But compensation, frankly, will move in line with revenue. And so we continue to be in growth mode. We're gaining assets. We're gaining new clients. We're hiring employees. And so I think that from that standpoint, we are looking good.
Robert Lee: Great. Thanks. Thanks for taking my questions.
Operator: The next question is from Finian O’Shea with Wells Fargo Securities. Your line is open.
Finian O’Shea: Hi, good morning. Mostly asked answered for me. Just a follow-up on the earlier question on GP-led single-asset market being perhaps a bit overheated with buyers remorse. Can you – or just – was that more related to LPs being too concentrated or are you suggesting that deals in that part of the market have struggled?
Erik Hirsch: Yes, Finian, it's Erik. I think maybe sort of either maybe I'll try to be more articulate. If you think about the sort of maturation of the secondary space, it traditionally had been one where you as a secondary buyer were buying funds or big portfolios of funds. And so by definition, one of the advantages that you had was the advantage of diversification that when you were buying funds with lots and lots of underlying company positions and you were buying lots and lots of funds, you ended up with lots and lots and lots of underlying portfolio companies. And so the power of diversification, I think, sort of kept you out of concentration risk. I think what we've seen is that I think some of our – some of the secondary buyers maybe sort of forgot about that benefit. And you started to see some portfolio concentration occur in ways that you simply had not in the past that was driven by single assets. Again, these weren't fun, these were literally single companies. And so we were extremely mindful about watching diversification and not sort of straying away from that inherent benefit that exists in the strategy. I'm not sure that's getting consistently true across the entirety of the market. And so today, you're now sort of seeing lots of GP still anxious to do single asset deals, but the number of buyers or potential buyers for those deals, I think you're seeing at least now has shrunk. And so that creates a supply-demand imbalance. And I think that history would indicate that supply demand imbalances favor the person who is the buyer and with us with having capital at the ready, we feel like that's a real advantage for us and one that we intend to take advantage of.
Finian O’Shea: Very helpful. Thank you.
Operator: The next question is from Michael Cyprys with Morgan Stanley. Your line is open.
Michael Cyprys: Hi, thanks for taking the follow up. Just on expenses, so from hearing you around G&A, good run rate and comp to grow in line with revenues, then would it be fair to conclude then that the fee-related revenue growth should outpace expense growth from here. And thus, we should see upward lift to the FRE margin as we kind of move forward from here from the 43% level in the quarter. Is that fair?
Atul Varma: Michael, its Atul. Let me take that. I think if you look at revenue growth and expense growth, what I would say is that the part that is a little bit unknown here is that we continue to move more to the normal return to the office, retention travel – while we feel pretty good about where G&A is, I think you could potentially see some increase there. So the way we look at it right now, I don't know if you were getting at the FR would expand it, I don't know if that happens in the short term. But I think we feel pretty good about where we are with the growth rates fee.
Michael Cyprys: Okay. So it sounds like the current quarter's FRE margin is probably a good sort of level to kind of move forward from here. I'm sure maybe it could expand near term, but it sounds like you guys are positive in the longer term. Does that be a fair synopsis?
Atul Varma: That's a fair statement.
Michael Cyprys: Great. Thank you.
Operator: We have no further questions at this time. I'll turn it over to Mr. Hirsch for any closing remarks.
Erik Hirsch: Well, again, thank you, everyone, for taking the time. We appreciate the support. We appreciate the interest. We appreciate the questions, and we are wishing you a successful completion in the summer. Thanks again.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.